Operator: Good day and welcome to the TICC Capital Corp. First Quarter 2017 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Jonathan Cohen, Chief Executive Officer. Please go ahead.
Jonathan Cohen: Thank you. Good morning, and welcome everyone to the TICC Capital Corp. first quarter 2017 earnings conference call. I'm joined today by Saul Rosenthal, our President and Chief Operating Officer; and Bruce Rubin, our Chief Financial Officer. Bruce, could you open the call today with a discussion regarding forward-looking statements?
Bruce Rubin: Sure, Jonathan. Today's call is being recorded. An audio replay of the conference call will be available for 30 days. The replay information is included in our press release that was released earlier this morning. Please note that this call is the property of TICC Capital Corp. Any unauthorized rebroadcast of this call in any form is strictly prohibited. I would also like to call your attention to the customary disclosure in our press release this morning regarding forward-looking information. Today's conference call includes forward-looking statements and projections, and we ask that you refer to our most recent filings at the SEC, for important factors that could cause actual results to differ materially from these projections. We do not undertake to update our forward-looking statements, unless required to do so by law. To obtain copies of our latest SEC filings, please visit our website at www.ticc.com. With that, I'll turn the presentation back over to Jonathan.
Jonathan Cohen: Bruce, thanks very much. We generated a total return of approximately 3% during the first quarter of 2017 representing the increase in TICC’s book value per share plus distributions paid to our common shareholders. Our book value per share rose from $7.50 at the end of the December 2016 quarter to $7.53 at March 31 and we paid distributions of $0.20 per share during the first quarter. For the quarter ended March 31, 2017, we recorded GAAP net investment income of approximately $7.9 million or approximately $0.15 per share. In the first quarter, we also recorded net unrealized appreciation of approximately $9.6 million, and net realized capital losses of approximately $5.5 million. In total, we had a net increase in net assets from operations of approximately $12.1 million or $0.23 per share. Our core net investment income for the quarter ended March 31 was approximately $10.4 million or approximately $0.20 per share. Please see the earnings release we issued today for a reconciliation of net investment income with core net investment income. Following the company’s strong total return performance for the full year 2016 and with the continuation of strength in the corporate loan market during the first quarter of calendar 2017, we believe that various initiatives including the share repurchase program we completed in 2016 and the portfolio rotation strategy we continue to implement contributed to the total return we generated in the first quarter. We note that we continue to have no investments on non-accrual status as of March 31, 2017. From January 01, 2017 to March 31, the LSTA Corporate Loan Index rose from 98.08% to 98.22% during the first quarter of 2017; tighter leverage loan spreads continue to generally reduce the weighted average spread of the loan assets within our CLO investments. That reduction in credit spreads on CLO collateral coupled with a meaningful increase in three month LIBOR during the 2016 calendar year has led to lower current and projected cash flow distribution payments from many CLO equity tranches. Within that context, the strength in the loan market continues to create opportunities in the CLO market as higher NAVs present us with greater possibilities for CLO calls and for opportunistic investments in CLO junior debt at discounts to par. During the first quarter of 2017, CLO liability spreads continue to generally tighten presenting us with ongoing refinancing as well as resetting opportunities. A reset is a refinancing that includes an extension of the reinvestment period of the CLO. With both CLO collateral and liability spreads at nearly their tightest levels since the 2008 credit crisis and with three month LIBOR just over 1%, we believe that the reinvestment period biased portion of the CLO equity class is generally well positioned for any widening of spreads and/or dislocation in the market. During the first quarter, we continue to execute our strategy of rotating out of more broadly syndicated corporate loans into a combination of club deals and more narrowly syndicated loans through purchases in both the primary and secondary markets. The necessity to maintain investments in more liquid corporate loan assets ahead of the November 2017 maturity of our convertible notes was meaningfully reduced by the underwritten public offering of just over $64 million in aggregate principal amount of 6.5% unsecured notes we completed on April 12, 2017. The notes mature on March 30, 2024 and may be redeemed in a whole or in part at any time or from time-to-time at our option on or after March 30, 2020. We intend to use the net proceeds from this offering to repay or repurchase a portion of our outstanding indebtedness under our 7.5% convertible notes due November 01, 2017 which amounted to approximately $94.5 million plus accrued interest as of March 31. With the benefit of that transaction, we believe that we are now in a significantly stronger position to continue the execution of our investment strategies in both the corporate loan and the CLO markets. We believe that our 2017 results should continue to benefit from the steps we took during 2016 to increase shareholder value in multiple ways. We continue to view our mandate as maximizing the risk adjusted total return on our shareholders investment in TICC. As such, we have and continue to focus on portfolio management strategies designed to maximize our total return as opposed to generating a certain level of income over a particular timeframe. We view the market opportunity currently available to us as strong and as a permanent capital vehicle, we have historically been able to take a longer term view towards our investments. We believe that this perspective served us well during the first quarter of 2017. We note that additional information about TICC's first quarter operating performance has been posted to our website at www.ticc.com. And with that, operator, we're happy to open the line for any questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Mickey Schleien from Ladenburg. Please go ahead.
Mickey Schleien: Good morning, Jonathan.
Jonathan Cohen: Good morning, Mickey.
Mickey Schleien: Jonathan, since we don’t have the Q yet, we haven’t seen the portfolio obviously, can you provide us some more background on how the non-CLO investments break down between the broadly syndicated bucket, narrowly syndicated bucket and the club deals?
Jonathan Cohen: Sure, Mickey. The portfolio obviously will be coming out with the Q that should be a little bit later today. But essentially what you would have seen in the first quarter is a continued rotation out of the more broadly syndicated corporate loans into again more narrowly syndicated more privately negotiated second lien transactions and a continued rotation on that basis. We don’t have a precise breakdown and I’m not sure that we actually categorize loans according to their syndicated or non-syndicated privately negotiated versus club deal status as those elements really represent points on a continuum as opposed to black and white lines of demarcation. So we don’t have any sort of a statistical breakdown but certainly what you’ll see when our scheduled investments is released again later today is a continuation of that rotation.
Operator: The next question comes from Christopher Testa from National Securities Corporation. Please go ahead.
Christopher Testa: Hi, good morning. Thanks for taking my questions. Jonathan, just touching a bit on Mickey’s question, just wondering if you could give us kind of a differential and the characteristics between the club deals versus broadly syndicated just in terms of average borrower size and attachment point leverage?
Jonathan Cohen: Sure. I think what we continue to see Chris is our smaller deals characterized by a fewer number of participants certainly, smaller tranche sizes especially with respect to the second lien and these are deals that as you know are principally, privately negotiated. These are not subject to a broader syndication process. We are strongly biased right now in deals where we are getting an early look or a first look in some cases directly from the sponsor, we hope and expect that to continue.
Christopher Testa: Okay, great. And do you have an indication of how much of the club deals you were the lead arranger on?
Jonathan Cohen: No. We don’t have that information at the moment, Chris.
Operator: Our next question comes from Mickey Schleien from Ladenburg. Please go ahead.
Mickey Schleien: Yes, Jonathan, I was cut off. Just a follow-up on my previous question, then one more question. Can you give us a sense broadly speaking of what the spread is that you are earning when you invest in a club deal versus syndicated deals?
Jonathan Cohen: I mean typically, Mickey, what we’re seeing in terms of second lien narrowly syndicated or privately negotiated deal somewhere in the high single digits for transactions where we are comfortable with the total level of leverage with the recurring nature of the underlying cash flows with the persistency of the margin structures and with all of the other aspects that we focus on in the context of our underwriting. I would say second lien syndicated right now is probably LIBOR plus 800 to 900 basis points whereas privately negotiated second liens with broadly similar credit structures we’re looking at somewhere around a 100 basis points wider. So call it, LIBOR plus 900 to 1000.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Jonathan Cohen for closing remarks.
Jonathan Cohen: I’d like to thank everyone for their continued interest in TICC. We look forward to speaking to you in the future and thank you very much for your attention this morning.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.